Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the Invacare 2018 First Quarter Conference Call and Webcast. [Operator Instructions] This conference is being recorded, Tuesday, May 8, 2018. And I will now turn the call over to Lois Lee, Invacare's Director of Treasury and Interim-Investor Relations Manager. Please go ahead.
Lois Lee: Thank you, Yolanda. Joining me on today's call from Invacare are Matthew Monaghan, Chairman, President and Chief Executive Officer and Kathy Leneghan, Senior Vice President and Chief Financial Officer. Today, we will be reviewing our first quarter 2018 financial results and providing investors with an update on our transformation. To help investors follow along, we have created slides to accompany this webcast. For those dialing-in, you can find the link to our webcast slide presentation that will refer to during today’s call at invacare.com/investorrelations. Further information can be found in our SEC filings. Before Matt begins, I'd like to note that during today's call we may make forward-looking statements about the Company that, by their nature, address matters that are uncertain. Actual future results may differ materially from those expressed in our statements today due to various uncertainties and I refer you to the cautionary statement included on the second page of our webcast slide and in our first quarter earnings release. For an explanation of the items considered to be non-GAAP financial information that will be discussed on today's call such as free cash flow, constant currency net sales, constant currency sequential net sales, adjusted earnings and loss and EBITDA; please see the explanatory note in the Appendix of our webcast slide and in the related reconciliations in the earnings release posted on our website. With that, I will now turn the call over to Matt Monaghan.
Matthew Monaghan: Thank you, Lois and good morning. With the meaningful progress in a number of key areas this quarter I’m pleased to give updates. Turning to Slide 3, you'll see a reminder of the three phases of our transformation program. Since 2015, our Company has been undertaking transformation that is essential to reinvigorating the growth and profitability of our business. In Phase 1, we defined our strategy and begin to reorient our business, most notably in North America. We're midway through Phase 2. Now where we focused on streamlining our infrastructure with our new business model and simplifying our customer interactions, but also leveraging new products and enhance commercial team. Phase 3 we expect to be a growth phase with more measurable progress towards our long term earnings objectives. Throughout all this, we continue to focus on creating a culture of quality excellence as a number one priority and profitable growth underpinning all we did. Quickly to summarize the really part of our transformation we had expected, reduce sales as we shed less accretive product, increase gross margin as a percentage of sales to indicate mix shift, temporarily higher SG&A and negative cash flow. Before gross profit dollars increase, SG&A as reduced and cash flow improves. On Slide 4, you'll see the results of first quarter 2018 compared to the key financial indicators of Phase 2 that we referred to in prior presentation. Compared to the first quarter of last year, reported sales increased 2.3% to $237.1 million while constant currency net sales decreased 4.4% compared to the same period last year. Importantly, both the North America HME and ITG segments achieved constant currency sequential net sales growth, an indicator of the progress of our transformation. Gross margin as a percentage of sales is unchanged to 28.1% compared to the first quarter of last year primarily as the result of favorable manufacturing costs including favorable impact from foreign currency and reduced R&D expenses offset by increased rate expense. Notably, we realize the sequential improvement in gross margins as a percent of net sales from fourth quarter 2017 of 80 basis points. Gross margin continues to be an important measure as we progress in our transformation and continue to shift our sales mix to reflect more clinically complex products. Compared to first quarter last year, gross profit increased $1.4 million to $66.5 million primarily due to favorable foreign currency and reduced R&D expenses, partially offset by increased freight expense principally to support the fulfillment of the back quarter carryover from fourth quarter 2017. Excluding the impact of foreign exchange, SG&A decreased $1.8 million or 6.6% primarily driven by reduced employment costs. Free cash flow in the first quarter 2018 was negative $26.7 million. The company's improvement in operating results substantially led to the $6.6 million improvement in free cash flow compared to the first quarter 2017. Historically the first half of the year has been seasonally more cash consumptive due to seasonally inventory increases, payment of earned customer rebates and employment bonuses that occur in the first half of the year. EBITDA was negative $1 million, an improvement of $6 million compared to negative $7.1 million in the first quarter of 2017. The increase in EBITDA was driven by improvements in the operating results of the business segments including decrease SG&A expense, and reduced restructuring charges. The first quarter of 2018 included an increase of $0.9 million related to equity compensation expense compared to the first quarter of 2017. Sequentially, EBITDA improved by $2.9 million compared to the fourth quarter of 2017 primarily due to reduced restructuring charges and lower SG&A expenses. The first quarter of 2018 included an increase of $1 million of equity compensation expense compared to the fourth quarter of 2017. While not noted on the slide, adjusted net loss was $0.35 per share compared with a net loss of $0.47 per share for the first quarter of 2017. The improvement in adjusted net loss per share was driven by reduced restructuring charges and improved operating results in majority of segments principally due to favorable gross profit and reduced SG&A expense. The company incurred net interest expense of $6.7 million in the first quarter of 2018 compared to $4.4 million in the first quarter of 2017. The increase in interest expense was due to the issuance of convertible notes in the second quarter of 2017. In the second quarter of 2017, we began measuring constant currency sequential net sales which we believe gives a more timely financial measure for evaluating our core operating performance as we work through the transformation. This has been especially important in the North America HME segment where the transition has been more significant. On Slide 5 you can see the comparison of sequential reported sales as we move through the transformation. Our North America HME in the first quarter of 2017 was prior to the bottom of our sales decline which occurred by the end of the second quarter of 2017. Sequential net sales increased for both the North America HME and IPG segments for the first quarter 2018 compared to the fourth quarter 2017. For Europe the sales trend reflect historically seasonal seasonality of the business with a decline in the first quarter a particular stronger second half of the year. In addition, the decline in the first quarter of 2018 was also impacted by a gradual shift in sales mix to reflect more clinically valued higher margin products. As we do each quarter we want to compare with what we've done to what we said we would do, so we continue to supply our recent quarter with prior quarters since the transition started in 2015. You'll see this on Slide 6. On this stage we show the sequential and year-over-year trend. Here we see the first quarter constant currency sales decrease not at the end of sequential comments just made. Year-over-year sales continue to decline in North America where the transformation is most significant and is compared to a stronger first quarter 2017 which resulted for the bottom of the sales decline. The Europe sales decline was impacted by a gradual shift in sales mix to reflect more clinically value higher margin products as we acquire transformation strategy to the segment. Gross margin as a percent of sales was flat year-over-year and gross profit increased $1.4 million compared to the first quarter of 2017 which benefited from foreign exchange. In addition, we achieved 80 basis points improvement compared to the fourth quarter of 2017. With our sales stabilized and gross margin percent improve, we expect gross profit dollars to increase. Constant currency SG&A improved by $4.8 million due to reduced employment cost. The free cash flow was negative showed a significant improvement of $6 million compared to the first quarter of 2017 as the results of improved operating results. I’ll now turn the call over to our CFO, Kathy Leneghan to discuss the performance of the segments and additional financial results for the first quarter.
Kathy Leneghan: Thanks Matt. Turning to Slide 7, all comparisons are with respect to the same quarter last year unless otherwise noted. For the first quarter of 2018, Europe constant currency net sales decreased 2.6%. The slight decline was driven by lifestyle and respiratory products, and to a lesser extent mobility and seating products as the company gradually applied the transformation strategy for this segment. Operating income increased by $1.5 million principally due to favorable incurred from foreign currency and sales mix partially offset by increased freight cost and sales declines. Gross margin as a percentage of sales and gross profit dollars increased compared to the first quarter of last year. Again looking back to the first quarter of 2017 before the bottom of the sales decline, North America/HME constant currency net sales decreased 5.7%. The decrease was largely driven by lower sales and respiratory and lifestyle products offset by increase in the mobility and seating products. Sales were also impacted by the closure of the segment Suzhou, China facility in the third quarter of 2017. Sequential constant currency net sales increased by 0.5% driven by respiratory products or the difference between the year-over-year and sequential result showing mix shift within this part of the business. Operating loss improved by $1.3 million, primarily related to reduce SG&A and R&D expense, partially offset by sales decline, unfavorable sales mix and increased freight costs. Gross margin as a percentage of sales and gross profit dollars decreased compared to the first quarter last year. In a similar comparison to the IPG segment, constant currency net sales decreased by 9.3%, principally related to case goods, bed products and interior design projects as the segment continues its customer mix shift within the long-term core channel. Sequential constant currency net sales improved 7.4% driven by interior design and DME products. Operating income declined $0.3 million year-over-year principally due to a decline in sales partially offset by reduced SG&A expense. Gross margin as a percentage of sales and gross profit dollars decreased compared to the same period last year. In the Asia/Pacific segment, constant currency net sales decreased 7.5% primarily due to reduced sales of institutional beds and respiratory product. Operating income improved significantly by $1.4 million to a positive $1 million compared to the first quarter 2017 as a result of a favorable sales mix, reduced R&D expenses and manufacturing costs. Gross margin as a percentage of sales and gross profit dollars increased compared to the same period last year. Turning to Slide 8. Total debt outstanding as of March 31, 2018 was $300.8 million, which comprised of two tranches of convertible debt, totaling $270 million and $30.8 million of other debt, principally lease liabilities. The company has zero drawn on its revolving credit facilities with net availability of $35.4 million as of March 31, 2018. The company's cash balances were $150.6 million as of March 31, 2018, compared to $176.5 million as of December 31, 2017. The company's cash balances decreased due to the net of free cash flow including the timing of significant payments with customer rebates earned from last year sales. Average company in the cash conversion days, day sales and receivables were approximately 48 days at the end of first quarter flat to December 31, 2017. Days in inventory were 69 days at the end of first quarter as compared to 67 days as of December 31, 2017. I'll now turn the call back over to Matt for additional comments. We can then address questions.
Matthew Monaghan: Thank you, Kathy. As you can see on Slide 9, we've highlighted the essential themes of our Phase 2 objectives. First, we continue to make progress in our quality systems and culture of quality excellence. In 2017 and into the first quarter of 2018 we have continued making progress towards restoring the company’s long-term earnings potential. In January, the company’s independent auditor completed its first semi-annual inspection of the Corporate and Taylor Street facilities in accordance with the company’s FDA consent decree. The auditor concluded the company continues to operate these facilities in substantial compliance with FDA requirements. In April, FDA conducted a follow-up inspection in the company's Alber facility in Germany following the corrections of issues raised in the previously disclosed 2017 warning letter. There were no observations from this inspection and Invacare anticipates closure of the warning letter in due course. Sales restrictions from the warning letter were lifted in January 2018. Second, in 2017 we launched 10 new clinical products, including the new Invacare TDX SP2 Power Wheelchair LiNX technology and the enhanced Invacare Platinum Mobile Oxygen Concentrator with Connectivity. We were excited about the opportunity for informatics platforms to positively impact the daily lives of end users, as well as to assist our providers in reducing our costs and by managing our business. Third, we continue to invest and reshape our North American sales force to increase commercial effectiveness. Also we have gradually begun to apply the transformation to the Europe segment, which may continue to slightly reduce sales as it shifts product mix towards more clinically valued high margin products. Overall, we expect slightly higher SG&A spending to support anticipated sales growth. Also in Phase 2 we're continuing to make progress reshaping the business for cost and efficiency. In 2017 we announced action expected to yield $23.4 million in annualized savings. These actions will help us optimize our infrastructure and reduce cost. In January of this year, we announced the transfer of production of manual wheelchair from our Swiss Küschall facility to the existing facility in France which is expected to be completed during the third quarter of 2018. This new facility will enable to leverage our existing manufacturing capabilities in a logistically efficient location in France. We continue assessing our global footprint for opportunities to be more efficient with lowered cost and simplified ways to conduct business. These benefits will be compared as we grow sales and leverage these costs improvements. We are on midway through our transformation. We have a lot of work yet to do. We acknowledge that market share gains take time and we're pleased with the early results of our commercial investments and enhanced product portfolio. We remain confident in the earnings potential of the business and our ability to achieve our strategic goals. We appreciate the continued support of our shareholders, and our associates throughout this process. We have a long-term strategy plan to rebuild this business to be a sustainable leader in the markets we serve. With that, we'd like to thank you for taking time to be on the call this morning. We will open the phone lines with questions. Yolanda?
Operator: [Operator Instructions] Our first question will come from Chris Cooley with Stephens. Please go ahead.
Chris Cooley: I guess just maybe two from me and then I’ll hop back in queue. You had good sequential progress in the North American HME segment. You were down 6.9% in the fourth quarter and then 5.3% here in the 1Q. I just would like to get to your perspective of how you see that business hopefully returning to growth here in the near term and then the resulting impact both gross and operating margin. As we think about that business but it’s clearly you had a strong ISS and we realized there is fairly long week time when we think about reentering the powered mobility space in particular but help us think about maybe little bit of timing on when you'd expect to see a little bit of turn there in that segment and then the resulting impact gross and operating margin and then I have follow up? Thanks.
Matthew Monaghan: Chris from having visited ISS, I think our product portfolio looks pretty good competitively and the complex we have space I think we really don’t have any second place contenders in terms of products. We got a good selling team. It was partly through the through the first quarter when we got some essential customer contract signed, we got on people's formulary that takes us a little bit of time to get the word out, trained, get them out the field. So we see further growth ahead of us. I think we had a decent backlog coming in from fourth quarter with a number of areas and I think we look forward to this portfolio continuing to accelerate in 2018 and beyond. In the respiratory business this is the season where you have or don’t have a winter that affects people’s respiratory issues as this pretty strong field season till we saw a good demand for all mix of products and stationary that portable in the homes we also look forward to continue growth in those areas general and it was nice to see sequential improvements in our IPG business. So I think first quarter we always like to be stronger and things to happen a little more quickly with a relatively decent mix of progress based on our commercial team and the portfolio we’ve rented over the last couple of years. You talk about gross margin in there, gross margin we brought in fair amount of backlog into the fourth quarter to first quarter and unfortunately we spent more than we had planned on freight to expedite the resolution and fill those back orders so that hurts a little bit. But we did hit that 80 basis points sequential of growth margin. So we consider that mild progress and we look forward that continues.
Chris Cooley: Second question, my follow-up maybe a bit premature, but when I think about just capital structure here exited the quarter with about $150 million in cash then net debt position there. I am just curious how can $26 million burn, how you're thinking about the timing of the return to profitability, which I realize as a function, the retroaction of topline growth. And how is it all A, either limit or dictate your future strategic decisions as we think about new talent infrastructure and portfolio. Really just trying to think about is this limiting the factors we try and balance the need for capital inventory, or higher working capital right now. Or is there an ability to continue to move fluidly on the portfolio in the infrastructure, what's the confidence that you will have sufficient cash? Thanks
Matthew Monaghan: So we are satisfied with the balance sheet that we have in executing the plans that we expect to be require to complete the transformation. The forward progress in terms of the balance sheet or cash flow are kind of the superposition to choose things that somewhat steady improvement and you can see our year-over-year improvement in cash flow and then this kind of semi-annual final curve, which is consuming cash more or less in the first half. If we generate cash its more in the second half of the year and if those two curves are combined we can project forward progress that even restrictions don't, what we want to do. We need to make sure that we have products to use all of our assets in capital expenditures having use demo units out in the field, and I would only view that having more cash on hand enhance our ability to accelerate - pretty well matched with the group that we have and the plans that we can execute here in the short term.
Chris Cooley: If I could maybe just squeeze one more quick and then get back in the queue. Just on the migration of the IT business from Texas back to Ohio, I am sure since [indiscernible] won last night, I want to move back upto - is that migration complete and then as a result of that, how can we expect to see some transitions there as well when we think about the IT platform across multiple platforms. Thanks.
Matthew Monaghan: So we're all on the same page what you call the IT businesses are subsidiary in Texas called ASL. They make very high end human machine in our faces so that people who have challenging disabilities can still have full use of a powered wheelchair product to go about their daily living. That platform or portfolio allows us to do tremendous things that are power wheelchair products and we're probably through that transformation no issues there. There is some amount of engineering work we do and then make sure that those products are compatible with our power wheelchairs that they are easily put on our order entry forms, and it’s a relatively small business - that works on going. We can complete at this year. No big disruption. But now I would just call an IT related for everybody else, it is a very product base controlled business.
Operator: Our next question will come from Bob Labick with CJS Securities. Please go ahead.
Bob Labick: I was hoping we could get a little more color on rescue business in the U.S. in particular and talk a little bit about the Platinum Mobile with connectivity. The traction on that product and if there are follow on products coming with additional connectivity products, and the people are really gravitating to that new feature that you have.
Matthew Monaghan: We are pleased with the continued progress as reported last year in concentrator that call the Platinum Mobile. This winter we actually had good sales of all the product mix and it seems to be good uptick of the informatics platform. We got a balance of future plans as you can expect with other products but also with the kind of enhancements to the existing products that software companies do from time to time. So that’s been good. Probably the biggest future need I think for affordable business is just name recognition. There are some big players out in the marketplace with brand name recognition at the product level and that drives probably a differential and sales between companies there in the market space. So we tend to be somewhat to make sure that customers are aware of bringing the products that's out there with those great features more to come.
Bob Labick: And then just taking - I guess I don’t know is the connectivity on our respiratory. Do you have mobile respiratory in Europe, as well or is that just the U.S. product.
Matthew Monaghan: The product is slowly coming out in Europe. It’s a little different the way we deploy in Europe given country requirements, but that seem the ability to be available in Europe.
Bob Labick: And then sticking with Europe. You discussed the 2.6% I believe organic decline or constant currently decline in quarter and how you've targeted some of that decline to reduce low margin sales. Can you kind of talk about the difference between the targeted decline and the rest of the decline versus your expectations and what’s working and what you need to do resume growth or stem that decline.
Matthew Monaghan: Probably a few more quarters of very mild tail decline, but we are looking forward to offsetting that with profitability improvement that we discussed doing this - for that’s our goals is to make sure we have the right mix and it comes from essentially selling more clinically valuable products in the marketplace, which then translates to more economically valuable products to the company. So for me as long as we still see gross profit improvement along the way, there is mild decline for few more quarters is probably okay. Overall for the company we might have slightly higher SG&A dollar expense as we grow sales, although we continue to look for leverage on that as a percent of sale going forward.
Kathy Leneghan: I would also highlight from the operating margin perspective. Europe's operating margins are up in Q1 of '18 when you compare them to Q1 of '17 or Q1 of '16. So we are happy with performance by the European team from a profitability perspective.
Bob Labick: Last one, if you could just discuss the drivers of the North American sequential improvements from here in the next milestones we should be looking for?
Matthew Monaghan: We expect general growth in all those segments as a little bit of seasonality in respiratory at the end of the winter flu seasons. So we will see what that looks like, but we still expect positivity due to our part which is still a relatively new product introduction from a year ago and seeing the mobility continue to grow generally and we are looking for the ITG segment to continue to turn around as we shift customer mix and sell the higher end in greatest solution that the business has. In Europe it's still multi-period. Yield declines a little bit looking for profit improvement and general improvement in Asia Pacific as we've always been able to demonstrate between the businesses over there, our sales, our rental business and our manufacturing business.
Operator: We'll hear next from Matthew Mishan with KeyBanc. Please go ahead.
Matthew Mishan: I just want to follow up on Bob's question on Europe. Is it the way you can call out what the impact of the portfolio mix shift is in that segment and compare that to what the base business is doing?
Matthew Monaghan: We haven't done it before and it's different by country based on how countries work with us and administers their own population healthcare. So it's difficult for us to do that, but I would say within each of the segment there is range of gross margin, power wheelchairs has the less complex to the more complex manual wheelchairs, beds, respiratory products they all do, and depending on how a certain country administers that and what products we're selling to them there may be an opportunity to get into more clinically valuable products. It's not a general way I think to describe that you know Kathy.
Kathy Leneghan: I think that’s true. We really don’t segregate that, understand how much was really more transformation impact versus market impact, but overall it was a decline in the quarter.
Matthew Mishan: So I guess, how constant are you that the declines in Europe are from the transformation not from changes in the base business.
Matthew Monaghan: Well, I think overall we look at win and loss rates and general business helps and I think only data we see from our managing directors there and the different country performance we have, I don’t think - anything that we view is general. We are all pushing towards the same thing, which is within those markets that we manage, how do we make sure we are engaging customers in a most meaningful clinical way and I don’t think Kathy and I have seen anything that makes us think that there is anything other than more or less what we have expected.
Kathy Leneghan: No, and I think the inputs that we have had from general management group is not losing market share, it was a slow quarter and it was impacted by the transformation.
Matthew Mishan: And then in the outlook in your press release, there was a slight change in language where you did remove the word slightly as far as your expectation of reduced reduction sales. Was that meant to signal anything or was that - I just want to make - your expectations are a little bit different for the change in sales in Europe as a result of this portfolio mix?
Matthew Monaghan: Interesting observation. No, absolutely maybe editorial indiscretion and not paying too much attention to word slightly no change in what we're expecting to do in Europe.
Matthew Mishan: And then shifting to North America HME, I know 1Q is always a little bit tougher seasonally but I am just trying to gauge your sales momentum there. Any chance you can give us a sense of the cadence of the quarter, how you started January, February versus how you exited in March and how you started in April?
Matthew Monaghan: Well I think in December we had some changes in our work force that caused a little bit of disruption which maybe lightened up to close that led into the beginning of the quarter in our complex rehab space. But given what we’ve seen in the meantime I feel really good about where that’s going from here, and then as we discussed previously we are having good interactions with our customers who we fully support and I am glad where we are with formulary additions and so happened during the first quarter. So I think there is more momentum in our future than in our past in all those regards.
Matthew Mishan: And then I guess two more I’ll squeeze in. On the free cash flow side, I think you indicated in the release also that you expect the 2018 outflow is now going to be equivalent to the 2017 outflow. Has anything changed in your expectations from the weakening of the year, is that a function of maybe some of the opportunities you are seeing and maybe more confident in the growth outlook hence the working capital build?
Matthew Monaghan: Let me start Kathy and then over you. No change in the outlook for the year. The difference between last year and this year was a total cash flow consumption maybe the same. Operating performance we expect to be better and then we’ll have some more discretionary spending in 2018 that makes some of that truly go to probably we're at last year.
Kathy Leneghan: And I would just highlight, we do have strong seasonality when you look at cash flows. So we’re normally very cash flow intensive from a usage perspective in the first half of the year and then we generate cash in the second of the year but the next point, a composition of our cash flow will probably change versus where we thought 2017 and so we’re anticipating stronger profits out of each of the business first but again what we’re working capital and other related AR or inventory and mobility as well from CapEx investment.
Matthew Mishan: And then lastly, can you just - I guess you quantify with the incremental freight cost were in the quarter?
Kathy Leneghan: We really don’t disclose that level. I mean it was significant enough that we visited as an item and it was clearly driven by the fact that we brought down inventory low at the end of December and we had backlog on product lifestyle products where it’s hard to gauge what that forecast is going to be and so the expedite some of those orders in we have incurred additional freight but we’re trying to manage that as - we don’t really have disclosed that level of detail.
Operator: Our next question will come from Jim Sidoti with Sidoti & Company. Please go ahead sir.
Jim Sidoti: So with the situation with the FDA results, your sales - new products out there have you started to increase staffs at the [indiscernible] facility, Europe up in anticipation of greater sales yet or are you waiting for the sales to come before you rent up staff theory?
Matthew Monaghan: Well Jim we definitely done things to increase the direct staff involved in manufacturing wheelchair is the Elyria campus where the Taylor street build is located. Also houses many number function so we had a bit of mix shift in the talent that’s been here and we would have seen some of the changes that we disclosed publicly last year. We were building direct capabilities, direct labor and materials and other things that you would expect as we grow there is no waiting on that. It’s relatively proportional. And as we had discussed in prior calls, the Taylor Street facility have really remained physically of the same capacity as had a number of years ago with much higher sales. So all we need to really do is direct labor as we build back that business and we do that weekly and monthly.
Jim Sidoti: And then is the composition in the sales force where we wanted to be or you still looking that?
Matthew Monaghan: Yes, I think we like our sales force alignment as we had it now good CRT or complex rehab technology alignment with our customers who are very important good respiratory and corporate accounts then on the IPG business seem I think we got a good set up at this point.
Jim Sidoti: And a lot of questions about cash flow today. I think the main question is are you confident with the cash you have on the balance sheet and the drift around the credit that you will be able to get through the next period, I don’t know if you want to say years, couple of years without having to do anything drastic to generate to get our capital.
Matthew Monaghan: I have no hesitation saying a couple of years. We are very comfortable as far as we can see in the future transformation plan that build the business back to our 2020 objective that are 100 million resonate with that run rate. We have no issues there.
Jim Sidoti: So need to raise debt to issue equity. Do you think you have cash on hand to get you through this transition?
Matthew Monaghan: Correct. Operator Thank you, everyone. That will conclude our question-and-answer session for today. At this time, I would like to turn the conference back over to Matthew Monaghan for any additional or closing remarks.
Matthew Monaghan: Thank you Yolanda and thanks to all of you for taking time and your attention today on the call. Kathy, Lois and I are available to take follow-up questions and [indiscernible]. Thanks, have a good day.
Operator: That will conclude today's conference. Thank you all once again for your participation. You may now disconnect.